Operator: Good afternoon, ladies and gentlemen. Thank you for standing by. Welcome to Dorel Industries First Quarter 2020 Results Conference Call. At this time, all participants are in a listen-only mode. Following the presentation, we will conduct question-and-answer session. Instructions will be provided at that time for you to queue up for questions. [Operator Instructions]  Before turning the meeting over to management, please be advised that this conference call will contain statements that are forward-looking and are subject to a number of risks and uncertainties that could cause actual results to differ materially from those anticipated. I would like to remind everyone that this conference call is being recorded today, May 8, 2020. I'll now turn the conference over to Martin Schwartz, President and CEO. Please go ahead.
Martin Schwartz: Thank you. Good afternoon and thank you all for joining us for Dorel's earnings call for the first quarter ended March 31st. Joining me today are Jeffrey Schwartz, CFO; and Frank Rana, VP of Finance. We will take your questions following our comments. As always all numbers are in U.S. dollars. First let me say, I hope all of you have been keeping well and safe during this unprecedented crisis. Our priority at all Dorel operations, of course, has been the health and welfare of our employees. We quickly instituted additional safety measures at our facilities around the world and like you many of us have been working from home. By mid-March COVID-19 has brought the global economy to a grinding halt as lockdowns and stay-at-home orders were enforced almost everywhere. Like most companies Dorel has been affected, although many of our products have remained popular with consumers who are able to purchase in stores wherever. Our online shopping has still backed up in a major way. We're confident we're in a good spot as the economy recovers. Both Dorel Home and Dorel Sports have been experiencing strong demand since the virus hits as our value price hall furnishing and bicycles have proven popular with consumers during these special times. However, Dorel Juvenile has been negatively impacted primarily due to retail store closures. As well with fewer people driving sales of car seats are down materially. We believe these purchases have been deferred but not canceled. Actually in the past several weeks there has been improved sales at retail. Another priority has been Dorel's focus on liquidity and inventory reductions. As well every one of our divisions is taking a microscope to all expenses to maximize cash flow. As of March 31st Dorel was compliant with all its financial covenants. Turning to our three segments. Dorel Sports revenue was up for the fourth straight quarter with the pandemic interrupted the momentum and eroded approximately $6 million in Q1 operating profit. With COVID-19 hitting first in Asia, many of the bicycle factories we deal with there were forced to close in February for four to six weeks reducing supply. Since lockdowns were ordered, demand has remained strong but there are some constraints in realizing sales as many countries have not yet allowed retail operations to resume, although this has recently started to change. In-store POS levels on bikes parts and accessories and even ride-ons have been very strong. E-commerce sales have also seen growth. At CSG, the impact varies by region. Some of the larger sporting goods outlets remained shut, although e-commerce sales have been filling the board. By the end of April many of the CSG dealers that have been shuttered in Northern Europe has reopened while most in the southern countries remain close. Europe did well prior to the closures with e-bike and road category sales up strong double-digits thanks to several new model launches including e-urban bikes. There has been a silver lining in this pandemic cloud. Families who have been cooped up at home are now getting out to escape the lockdown and enjoy the improving weather. The desire for physical and mental health wellness, which has never been greater are all factors in the significant increase in bike demand, which is stronger than pre-virus. And this is not going unnoticed. Media have been reporting that the bike industry has experienced a surge in recent weeks as people are itching to get to some fresh air and exercise, while others are using bicycles as a mode of transportation to avoid public transit. Many cities around the world are closing additional traffic lanes to give cyclists and pedestrians more space, and some cities temporarily or permanently expanded their cycling infrastructure. This all bodes well for the biking industry. The second quarter outlook for Dorel Sports is for sales to remain strong at mass retailers and online, both experiencing solid increases. Specific cycles POS increased significantly throughout April versus last year and CSG North America is expected to deliver sales growth. European revenues and Caloi sales are anticipated to decline only because lockdowns are continuing across Southern Europe and at key customers in Brazil. While demand is high, Q2 sales will be dependent on inventory availability due to the earlier factory lockdowns in Asia. Short-term supply is tenuous although we are doing what we can to mitigate the issue. Despite this and continued store closures affecting distribution, a return to profitability is expected during the second quarter. At Dorel Home COVID-19 created a shift in product sales of consumer buying audits. With so many in lockdown by mid-March, online shopping exploded with consumers seeking the segment's value price furniture. People stuck at home 24/7 with not much else to do started cleaning and remodeling and they started buying online. Items such as home office furniture and entertainment units have done especially well. Dorel Homes branded sales such as Cosmo and Novogratz maintained their upward trend with substantial year-over-year increases. In addition to this group is a new line of Netflix Clear Eye branded products which is expected to support the segment's margin improvement plan. Supply was an issue earlier in the quarter. As of early February Chinese and other Asian suppliers were unable to deliver due to widespread plant shutdowns forced by the pandemic. This resulted in decreased product and hence lost sales from many of Dorel Home customers which lasted until the first half of March. Shipments began to recover in mid-March as Asian suppliers came back online and domestic sales start at the rebound. Looking to the second quarter for Dorel Home, April shipments from online buying have been extremely strong in response to consumers' needs during the prolonged stay-at-home period. Some products planned for Q3 shipping are going out now due to the elevated demand. We expect this trend to continue in most divisions due to an even bigger shift to online shopping and strong government support programs. We will likely see some out of stock challenges remain due to demand, but inventory levels should improve in June. Lower warehouse and logistics expenses are expected to further reduce operating costs, also contributing to improved second quarter earnings. At Dorel Juvenile, the negative impact of COVID-19 was substantial due primarily to store closures and lower demand across most markets, as well as supply issues out of China earlier in the quarter. Combined first quarter lost sales due to the pandemic are estimated at $24 million. Europe was unplanned through February as new products were performing well. However these gains evaporated as the pandemic to hold on retail store closed in almost all markets. U.S. sales which were good until mid-March were also below expectations due to the overall market downturn. In Chile and Peru, all our company-owned retail stores were also closed in March. The supply chain interruptions which began in February have been largely resolved as Dorel Juvenile's China-based factories and other China-based suppliers were mostly back in operation in mid-March. In North America, where larger brick-and-mortar outlets remained open, the negative sales impact was due to the massive imposed pause as many could not get out to shop,. The core Juvenile categories of car seats installers as no one was traveling anywhere. We believe these purchases have only been deferred. However products used in home such as health and safety age, walkers, gates high chairs, all sold well through the quarter. In Europe and South America the sales impact was much more substantial. Smaller stores the largest distribution channel particularly in Europe were forced to close. While there was an increase in online sales in most markets sales in Europe were further limited as baby stores were deemed nonessential and Juvenile products are also deemed nonessential in certain countries and thus online purchases could not be delivered. As for Juvenile2nd quarter, April sales were substantially lower as limitations on consumers', movement and retail operations remained in place in most markets. But as lockdowns ease in various jurisdictions, we are seeing increased sales and the deferred sales of car seats are picking up. Recent customer PoS in the U.S. shows increased sales of underperforming categories and we foresee continued demand due to the catch-up of the deferred purchases. Travel strollers sales will likely take longer to come back as travel still seems like a distant thing. As restrictions and lockdowns are further eased going forward, we believe Dorel Juvenile will be in a good position relative to our competition. The segment has a broad product portfolio. Sales across all price points has the best-in-class supply chain as well as advanced ecommerce capabilities which allow them to keep pace with expected growth in this channel. With the long-standing trust of safety first brands and the added importance through this infant health and safety category, we feel our products will now resonate even more with parents. Nonetheless, the expected continued store closures will result in second quarter weakness. Significant second half improvement is expected based on the full reopening of retail stores, the launch of new products, and a further catch-up of deferred purchases. Considering how the worldwide situation of the COVID-19 pandemic is negatively affecting many businesses, we remain optimistic for the second quarter for Dorel in general. I'll now ask Jeffrey to provide the financial perspective. Jeffrey?
Jeffrey Schwartz: Thank you, Martin. I'm going to do rather quick update on Q1. All our numbers are in the press release. And then during questions, I'm sure we'll be talking a lot more about the future. So, obviously during the first quarter, the global economies and financial markets were impacted by the COVID-19 outbreak as it spread around the world. Dorel's three segments were adversely impacted during the quarter due to the closures of manufacturing facilities, the prolonged closing of stores of many of Dorel's customers around the world, and disruptions in our supply chains and to a point in our own factories reduced workforce productivity. Just going to highlight the -- we did have an impairment loss on goodwill of $43.1 million during the first quarter in connection with the Dorel Juvenile Europe's unit due to reduced earnings and cash flow projections and higher risk-adjusted discount rates in light of the economic uncertainty caused by the pandemic. As explained, the reported net loss for the first quarter and the comparable periods include an impairment loss on goodwill restructuring. As such I'll be discussing adjusted financial information as we believe the adjusted financial information provides investors with additional information to measure the company's financial performance by excluding the items that we don't believe are core to the business performance and it will provide better comparability between the periods presented. So, first quarter revenues decreased $44.8 million or 7.2%. Again much of that decrease was the last few weeks of March. Organic revenue declined by about 6% after removing the variation of foreign exchange year-over-year. The revenues and organic -- the revenue and the organic revenue declines were in the Dorel Juvenile and Dorel Home offset slightly by some improvements in Dorel Sports. In Dorel Home, the decrease in the brick-and-mortar channel was partly offset by increases in e-commerce. And in the Juvenile most markets were impacted by supply chain distributions and then lower demand at the latter part of March. To touch on -- the finance expenses increased $5 million to 15.3% compared to 10.3% in the quarter. This increase is mainly explained by a loss of $3.7 million recorded during the quarter in connection with the modification of the senior unsecured note agreement and as well 2.3% by just the longer -- the average long-term debt balances were higher and the average effect of interest rates compared to last year were higher as well. So, during the quarter, the net loss was $57.8 million or $1.78 per share compared with $8.3 million or $0.26 per share. However, when you exclude the impairment loss on goodwill our restructuring adjusted net income for the first quarter declined by $19.4 million to the adjusted net loss of $13.6 million or $0.42 a share loss compared to net income of $5.8 million or $0.18 last year. If we go to the segment now Dorel Home was certainly an up and down quarter. We had a very good January, very poor February as the factories in China closed, and we were not able to get orders shipped to our customers. And then by the second half of March, when pandemic hit, we saw a rise in sales, which has continued throughout Q2. Again, a lot of that is e-commerce although we are -- we did see brick-and-mortar in Q1. Then by the end of the quarter, we start to see that going up. The operating profit for Dorel Home declined by $4.2 million or 28.8% to 10.3% for the first quarter from $14.5 million. The decline was mainly due to some lower gross profit, partially offset by cost containment and operating expenses as explained. Over in the Juvenile, first quarter revenues decreased by $35.1 million or 15.2%. Organic revenue declined by 14% after removing the impact of varying foreign exchanges. Most of the segments markets reported sales decline, supply chain disruptions from China and lower demand due to the COVID outbreak negatively impacted the segment as well as of course all the stores particularly in Europe that closed down. The revenue decline was partially offset by an increase in online sales in most markets because of the stores that were closed. If we look at -- so the gross profit was lower, the lower volume absorption of fixed overhead costs resulted from a decrease in revenue due to the impact of the COVID. The strengthening of the U.S. dollar against all major currencies also contributed to an increase in cost of sales. That was a big event the U.S. dollar when this started to happen, the U.S. -- all the uncertainty the U.S. dollar got significantly stronger and that hurt us in various markets around the world. And that has again large impact on the quarter. I spoke about the impairment on goodwill again $43.1 million non-cash. Therefore the operating loss was $46.2 million for the quarter compared to 7.9 -- $7.1 million in 2019. Excluding loss on goodwill operating -- adjusted operating profit declined by $9.1 million to a loss of $1.9 million. Although in Sports, first quarter Dorel Sports revenue increased by $3.6 million or 2%. When excluding the impact of the varying foreign exchange rates, the organic revenue actually improved to 4.3%. Dorel Sports revenue and organic revenue improved for the fourth consecutive quarter. During the quarter the gross profit declined by 230 basis points to 19% from 21.3%. The decline was mainly explained by -- again by the impact of foreign currency fluctuations, particularly at Caloi in Brazil where the Brazilian real has weakened significantly against the U.S. dollar since the beginning of this year. So overall, the operating loss in the quarter was $600,000 compared to a profit of $4.5 million. The decline is mostly due to lower gross profits because of foreign exchange and a higher impairment loss on trade receivables recorded during the first quarter, which we did in light of the pandemic. The other part the third part of what -- that was the initial reduction in orders that happened at the -- when COVID hit. A lot of retailers got nervous a lot of even North American retailers shifted to essential purchases and bikes were not considered to be essential during that period. That of course, changed as April went on. A few other notes. Cash and cash equivalents increased by $107 million in the quarter increased it $146 million at the end of March, compared to 39.1% at the end of December while long-term debt increased by $111 million versus at the end of the year. The increase in the debt resulted mainly from Dorel drawing down funds on its revolving bank loan credit facility, improving its liquidity position during COVID pandemic. The increase in Dorel's net level resulted from the management's strategy to maintain additional cash on hand and liquidity to media obligations during the current economic downturn. So what all that met was the initial reaction at Dorel was to preserve liquidity and make sure we can make it through Q2 and Q3. When COVID hit, nobody knew what was going to go up and what was it going to go down, where the demand would be, where we'd be able to supply and we did everything we could to organize the plan to maintain good liquidity through the quarter. As it turned out, we have good sales. We have good profitability, and therefore liquidity is not an issue for Q2 for sure. So with that, I'm going to pass it back to Martin and we'll answer your questions.
Martin Schwartz: All right. Thank you, Jeffrey. With that, I'll now ask the operator to open the lines for questions. And I request that you please limit your questions to two on the first round. Operator please.
Operator: Thank you. Ladies and gentlemen, we will conduct a question-and-answer session. [Operator Instructions] Your first question comes from Sabahat Khan with RBC Capital Markets. Please go ahead.
Unidentified Analyst: Hi, it's Chris [ph] on for Sabahat. Are you able to share some additional color on the amendments that you've made to your covenants including how far out the amendments have been effective for?
Martin Schwartz: Not a lot of color there. I mean, what we did was we took an initial -- to get through the first quarter until we have some stability. We in fact have more stability than we had at the end of Q1 and we'll be going back to adjust covenants. Now that we have some vision, it was very difficult to get long-term covenant relief from the banks until there was a vision as to where the businesses were going. That vision is much clearer, although again lots of uncertainty but we have a vision now. We didn't have a vision in fact at the end of March when this all started. So we will be going back. I have good confidence based on the numbers we're seeing so far in Q2 and the outlook for the rest of the year that we should be okay.
Unidentified Analyst: Okay, great. Thanks. And then turning to the eventual reopening of retail stores, what are your expectations in terms of rebuilding inventory levels? And how do you expect that will impact working capital going forward?
Martin Schwartz: There's two questions there. Retail stores in Europe, it's primarily in Europe and South America that the retail stores that we sale through or have affected us. The opening of shops on the bicycle side should be good. We do have European inventory. It's quite solid, so I'm not concerned about the European inventory. And on the Juvenile side, our inventory should be fine as well. So the opening up shops and the inventory levels are not really connected we'll be fine with the opening of shops. Where the inventory is more of a concern is where the shops have been open and where we do a lot of e-commerce and that's mostly North America. So that's where demand has been significant and there was six weeks of supply issues. So between the two we are running short – in the home side we're running short of a number of items, although I expect to be a much better condition vis-à-vis our in-stock positions by the end of the quarter, so – but nevertheless. we still have very. very strong sales in April, which has led us through this issue. But we won't take that long to get back into stock on the home side. The bike side is a little different. The bike side is an industry issue, so there all had a lot of inventory and we've been able to deliver a lot of bikes so far but that's not going to stay that way throughout the whole quarter. We are getting a lot of bikes in. There's no question. But I still think for the short term demand is going to outstrip supply. So we're expecting a very good quarter. But I think the message is it could have been a lot better had we had all the inventory that we needed but there's no one in the industry that had all the inventory. It's not across the board invites. It's more on the lower price spikes. We don't see a lot of demand for $10,000 bikes right now. But certainly the lower price points, a lot of demand we had a lot of bikes. We weren't that short coming into the season but demand is just incredible right now on bikes and we're doing the best we can. But it will be the summer or before we're probably back in stock. And as far as whether that leaves us, again we've lowered our inventory significantly since the end of the quarter. We probably won't lower it much more than it is today, as we can get more stuff in. We'll have to see. We're able to move a lot of some sort of slow-moving bikes not just by slow-moving inventory in all three sections we were able to move some of that out so we don't have to – obviously you don't replace that. We're focused on the current in-line models and current in-line products. So we're going to come out with a much cleaner inventory out of all of this. And I don't have a projection yet. I don't anticipate working capital will go up significantly. We've got a lot of systems in place. Last year was a real aberration. It causes a lot of pain on our balance sheet. We started cleaning that up in Q4 continued in Q1. And…
Unidentified Analyst: Okay. Great. Thanks very much.
Operator: Your next question comes from Stephen MacLeod with BMO. Your line is open.
Stephen MacLeod: Thank you. Good afternoon. I was just wondering if you could provide a little bit of color you talked about April sales being strong in Home and Sports and maybe down in Juvenile, but I just want trying to get a sense of what magnitude you're looking at? You talked about like significant growth on the bike side, are you able to give a little bit of color around kind of what that means for all three segments?
Jeffrey Schwartz: Well the PLS, which is what is being sold through to stores is significantly outstripping our ability to deliver. So demand we've talked a lot about demand. So demand is triple-digits on the bikes. Having said that, our sales will be – where we're open our sales will be much higher. But you have to remember that there are places in the world that we sell bikes that aren't open at all yet. I mean, although it's funny how fast bindings moved Martin realized that Martin's speech was written a few days ago. And since then countries in Southern Europe have already opened like Italy is up in its bike shops. So again, Europe will probably be down in bikes just because of that. So it's difficult to give you where our numbers are. We're going to have a solid, solid quarter profit-wise and sales-wise but it's difficult to give you a number because we're limited by again which stores are open and which bikes we are able to check given – keep in mind six weeks of no delivery or very little delivery of bikes because of the COVID in that started in February in China affected our supply so that's going to affect Q2. And limit the upside, I guess, is the key message here not damage the quarter from a profitability point of view, but it's limiting the upside.
Stephen MacLeod: Okay. That's helpful. And how about – maybe can you give the same color for the Home business?
Martin Schwartz: Yeah. The Home business will be up. We're expecting a very strong quarter again we're running out of a lot of key items in the month of May. Our in-stock positions with retailers are definitely down now. We didn't have a lot of inventory as you know it's – that's coming down. The lead times are shorter thank God got than bicycles. So, we're hoping to have – we have a strong April, May will be a little lighter and strong June. We think the demand here is going to stay for a while, because of a couple of things. One, if this is a slow process in which people stay at home, people staying home are redecorating. We have the right price points, the good value price points so we see that as a positive. We see – there's obviously a recession, we're in line it's going to stay for a while. Again, previous recessions Home business has done well. So we think we've got the right business for the rest of the year for sure. But there will be some supply – that challenges on supply – keeping up with the demand it shifts. I mean, obviously, the first thing people went to were office desks for the house, for home office furniture was very strong. So that's something we've been going after. But since then everything is picked up. I mean, everything – all types of furniture are popular today. I guess, people are spending a lot of time at home. So it's going to be a strong quarter Q2. It could have been even better, if we knew what the demand were going to be.
Stephen MacLeod: Okay. That's great. Thank you.
Operator: [Operator Instructions] Our next question comes from Derek Lessard with TD Securities. Your line is open.
Derek Lessard: Yeah. Good afternoon, guys. I'm definitely seeing anecdotal evidence of strong bike sales at the IBD level. Just wondering how it's looking for you guys on the mass side?
Martin Schwartz: Mass side is much stronger than IBD, because of the price points.
Derek Lessard: Okay. No issues in terms of supply chain or – ?
Martin Schwartz: Yeah. I mean that's where the real supply issues are. It's hard to find bikes in the stores. These are the lower-priced bikes. People are going out to do stuff with their family. Bikes is a natural social distancing vehicle, right? So people want bikes. I might not want to have $5,000 to $10,000 bike so the mass has become very, very busy as well as the sporting goods channel. And like I said, we had a lot of supply. We had all of the supply we needed plus a good reserve. A lot of that has been sold, and now we're waiting for – which we're getting in now the bikes that are come out of the factory, since they've reopened from COVID. Those are starting to come in now. There has been some supply issues in the industry too with there is some component suppliers having their facilities closed even longer, so that's caused some delays. So the supply story is not pretty. We had a lot of inventory, which we're using now. We're going to be for sure by the end of this quarter at record-low inventories in our bike business. We're going to build up not to the same level. But yeah, demand there has been very strong.
Derek Lessard: Okay. That's helpful. And I guess from an e-commerce perspective, just wondering, if those channels across your various segments are more than offsetting the declines that you're seeing at the bricks and mortars?
Martin Schwartz: And there's -- I don't like to put names on this call as you know. But there's one very good size account whose stores are closed and whose business is better than last year -- their online business is covering all of last year's brick-and-mortar as well as putting it ahead of last year. And they're doing it all with the store close. So, yes, people have done that. And in some place like Europe for baby products, I mean that's the only way pretty much to get a car seat. First stroller today is online.
Derek Lessard: Right. And -- but you did mention that it was closed. It was deemed nonessential has most of that business opened up?
Martin Schwartz: In a few countries they were certain retailers figure out the large ones. We're told to focus on essential and not sell nonessentials even online. That wasn't one across the Board it wasn't every country but in a number of countries that was -- so yes I mean given how it's a tough business and I think long-term it's going to be fine. I don't see long-term negative effects. But this quarter is really tough although getting better like Martin said. We have -- two out of the three businesses are doing well. And one of them we're doing everything we can to minimize any cash burn in that business.
Derek Lessard: Okay. And maybe just one last one for me. And so wondering -- and again, it's in relation to the balance sheet and liquidity. I was wondering if you anticipate a need to eventually to need to recapitalize the balance sheet at some point once the COVID smoke clears.
Martin Schwartz: Yes, I wouldn't think we're going to have to look at it. I mean we are at a point where we see our debts going down. We're sort of seeing that now as we remove significant inventory from the system and turning it into cash. And our balance sheet is in a better place. We will have a relook at it later in the year as it calms out. Right now going out to the market to recapitalize there's very little that we can do. And fortunately we don't have to do right now so that's the good news. But I wouldn't tell you that our balance sheet is set up for the long-term right now.
Derek Lessard: Okay. Thanks gentlemen.
Operator: Your next question comes from Sabahat Khan with RBC Capital Markets. Your line is open.
Sabahat Khan: Just one housekeeping item. We noticed that the corporate expenses were down about $4.5 million in Q1. Is that related to the previous restructuring initiatives in Europe or was there another driver for that decrease?
Martin Schwartz: No, a lot of that was the removal of bonuses that would have happened. We have done some salary adjustments downwards. We've done some cost-cutting looking forward and then we've removed -- as of the end of Q1 it didn't look like we're going to get a plan for bonuses so that's in the move as well.
Sabahat Khan: Okay, great. Thanks.
Operator: There are no further questions at this time.
Martin Schwartz: Okay.
Jeffrey Schwartz: Okay.
Martin Schwartz: Okay. Well, that concludes today's call. I want to thank you all for being with us, okay. I want to wish all of you a good Mother's Day weekend and above all stay safe. Thank you.
Jeffrey Schwartz: Thank you.
Operator: Ladies and gentlemen, this concludes the conference call for today. Thank you for participating. Please disconnect your lines.